Operator: Good morning, my name is James, and I will be your conference operator today. At this time I'd like to welcome everyone to the Dundee Precious Metals First Quarter 2018 Analyst Conference Call. All lines have been placed on mute to prevent any background noise, and after the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to introduce Janet Reid.
Janet Reid: Good morning, everyone. I'm Janet, the Manager of Investor Relations, and welcome to Dundee Precious Metals first quarter conference call. With me today are Rick Howes, President and CEO; and Hume Kyle, Chief Financial Officer, who will each comment on the quarter; as well as David Rae, Chief Operating Officer; Nikolay Hristov, Senior Vice President, Sustainable Business Development; and John Lindsay, Senior Vice President, Projects. They are here today to assist with answering questions following our formal remarks. After close of business yesterday, we released our first quarter results and hope you've had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS, and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation, or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call has generally been rounded and any references to 2017 pertain to the comparable periods in 2018. On this morning's call, Rick will comment on our first quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our first quarter annual financial results and our guidance for 2018. With that, I'll turn the call over to Rick Howes.
Rick Howes: Thanks Janet, and hello everyone, and thanks for joining us today for our first quarter of 2018 conference call. I'm pleased to provide you with an update on our first quarter results and progress on our key projects and initiatives. As the global economy continues its gradual recovery, commodities should continue to benefit. The gold price has remained above $1,300 since December, but ranged down between $1,300 and $1,350. Prospects for gold remain strong based on the macro trends of U.S. dollar weakening slowing gold supply growth, strong demand growth trajectories in both India and China, who are the largest consumers of gold. Despite the continued rise in interest rates as the Fed continues its policy of monetary tightening, gold still built momentum and with soaring equity values and a low interest rate environment, gold as a store of wealth offers investors a good alternative and a hedge against potential rising inflation and geopolitical risk and uncertainty. Following the strong price performance in copper for 2017, copper declined more than 6% in the first three months of 2018. Surging warehouse inventories and weaker Chinese demand, put pressure on prices. In the near term, prices may remain volatile to these factors as well as to near term supply disruptions. In the longer term however, the copper market is expected to go into a deficit with rising copper demand from general global growth growing electric vehicle demand and a lack of recent investment in new supply. We expect copper to go into a deficit starting in 2019. Global gold and base metal equities are down 2% and 4% respectively year-to-date. And the GDXJ is down 6%. Following our strong share price move-up in 2017, our share price has continued this positive trend in 2018 improving 10% since the beginning of the year and up 20% since the beginning of 2017 as we advance our low cost organic gold growth project at Krumovgrad to production. We continue to execute on our strategy to create value by optimizing our operating performance, advancing our organic growth projects and building a pipeline of future growth opportunities while we maintain our balance sheet strength. With a strong first quarter performance from both Chelopech and Tsumeb operations, which we had record quarterly gold production at Chelopech of 57,331 ounces and copper production at 9.3 million pounds. Our all-in sustaining cost per ounce of gold was $696. At our Tsumeb smelter, we smelted 54,142 tons of complex concentrate more than planned as a result of deferring the annual maintenance shutdown from Q1 into Q2. The curve down tracked to achieve full-year guidance in all performance measures. Overall, financial results were negatively impacted by the weaker U.S. dollar relative to the Euro and to the South African Rand. Earnings of $0.02 per share in Q1 was also not really reflective of the high first quarter metals production due to the timing of deliveries. This should correct itself in the coming quarters as deliveries catch up to the production. Growth capital expenditure was at $25 million primarily related to the Krumovgrad gold project on track with plan. 2018 sustaining capital expenditures are expected to be between $29 million and $39 million. With spending in Q1 of only $5 million sustaining capital expenditures are expected to increase in the remaining quarters.
, : With Krumovgrad project construction more than 59% complete, our balance sheet remains strong with $33 million in debt and total equity of $294 million made up of $50 million in cash, $242 million in un-drawn revolving credit facility as well as investments at fair value of $37 million. The smelter performance in Q1 continues to trend to more reliable and consistent operating performance. We smelted 54,000 tons in complex concentrate. This was higher than planned due to the annual maintenance shutdown being deferred from Q1 into Q2 as a result of the furnace integrity improvement initiative, which has extended the life of the furnace rigs. Historically, furnace refractory life has been around nine months, this campaign will achieve 15 months and we believe further improvements are possible. Concentrate throughput in the quarter was hampered by power interruptions during an abnormally heavy rainy period in February and March and off gas related problems, which we have since addressed. Start of maintenance shutdown is now scheduled to occur in May. Volumes concentrated are expected to improve significantly in the second half of the year. Throughput for 2018 is still expected to be within the guidance of 220,000 tons, 250,000 tons as we continue to optimize the performance and gain experience in operating this newly upgraded and interconnected facility. Q1 cash costs per ton of concentrate processed was $499. This was negatively affected by the 12% stronger rand relative to the U.S. dollar. Cost reduction efforts this year will help to reduce some of this impact. Reductions have been targeted in the areas of productivity, maintenance, contractors and outside services and utility. We continue to make progress reducing the secondary copper inventories that have accumulated during the construction and commissioning of the acid plant and copper converters. This reduction will continue through 2018 and we expect to be back to normal levels in 2019. This will result in a reduction in stockpile interest and allow higher throughput capacity for new concentrates. We continue to advance the smelter expansion project to increase throughput of complex concentrate to as much as 370,000 tons per annum. Feasibility study was completed in the fourth quarter of 2016 and confirmed the robust project economics with an estimated implementation capital cost of approximately $52 million. The scope of the project includes rotary holding furnace, additional cooling and other upgrades to the Ausmelt furnace as well as upgrades to the slag mill area. Work is progressing on securing the necessary permits to support this planned increase, and early discussions are underway to secure sufficient complex concentrate feed to fill this expanded capacity. A decision on this project is not expected to occur until 2019 at the earliest. Chelopech had a record quarter of gold rush into 57,000 ounces following our record year last year of 197,000 ounces. This was a result of higher gold grade of 4.5 grams in the quarter due to positive reconciliations from our 103 and 19 Blocks as well as higher recoveries. We expect copper grades to remain above the same for the rest of the year. However, we expect gold grade to return closer to reserve average grades of around 3.2 grams for the remainder of the year. Higher gold grades and pyrite concentrate also contributed to the higher gold production. Cash cost per ton of ore processed was $37, which was 12% higher than Q1 2017. Due primarily to the much stronger euro, a number of improvement projects are underway and should help offset some of the impact of the stronger euro. We have several projects to further increase mining intensity and lower mining costs. And we continue our process plant optimization work design to produce energy consumables and approve metal recovery. Chelopech is on track to achieve production and cost guidance for the year. In our in-mine exploration program we drill 9146 meters and continue to identify extensions to existing ore bodies and one new zone. We will be focused on reserve conversion of some of these recently discovered resources particularly in the inactive upper levels of the old [indiscernible] mining area. Early positive results were recorded for downward plunge extensions of Block 18, 19, 25 and 150 in the upper level. In our regional exploration program around Chelopech, we will begin our 20,000 meter drill program designed to systematically drill test the 1.6 kilometer straight line target known as the Southeast Breccia Pipe Zone. 1600 meters were completed in the first quarter resulting in several good mineralized intersections, the best one being 25 meters at 4.5 grams of gold equipment, with acid still pending on four more holes. Two holes are completed on the Krasta deep target following encouraging results from the first durables in Q4 2017 and drilling on the craft to shallow target will begin in Q2. Number of other related targets has been identified to ground geophysics and geochemistry, which will be tested in the near future. Our Krumovgrad construction project was approximately 59% complete at the end of March and the project remains on track first month straight production of fourth quarter 2018, approximately 96 million has been incurred to-date with an additional 68 million to 72 million forecasted to complete in 2018. The aggregate cost of the project is expected to be between 164 million and 168 million compared to the original estimate of 178 million. Number of key milestones were achieved in Q1 integrated mine waste facility was completed. The major mill mechanical installations began, the electrical instrumentation contract was mobilized despite and now began their work, a good progress was made on the key remaining construction programs including the new access growth, main power line and discharge water pipeline. Re-commissioning activities will begin in Q2 followed by non-commissioning and open pre-stripping and ore stockpiling in Q3. First concentrate is expected in Q4 and commercial production in Q1 2019. The operating team is focused on operational readiness and deploying its characters modeled to maximize the synergies with Chelopech. Exploration has identified a number of satellite deposits within a few kilometers of Krumovgrad. Drilling on the Surnak satellite began in Q1 to test the eastern and southern resource boundaries. Five holes were completed with additional 25 drill holes plan for the remainder of the year on this target. An additional three holes were also planned for the Kupel North satellite. Once this program is completed, a resource estimate and technical report will be completed on the satellite deposit on the first half of 2019. The completed satellite will be drilled in 2019 followed by drilling on the remaining satellite. On our [indiscernible] license, approximately 20 kilometers northeast of Krumovgrad, we are following up on a near surface low solidation gold bane system drilled by the state in the 80s. At our Greenfield Timok gold project in Serbia following the discovery of the Korkan West oxide deposit in 2017, we completed a major re-logging program in the Korkan and Bigar Hill deposits to model the oxide and transitional zone boundaries. We also conducted -- ore bottle roll test and Column leach test on the Korkan West Korkan and Bigar Hill oxide and transitional zones. Bottle roll test indicate recoveries of 90% to 95% for Korkan and Bigar Hill oxide, 75% for Korkon West oxide and 50% to 55% for Korkan transitional zone oxide. Column leach test results are expected in Q2. We believe an initial phase oxide, heap leach could have a potential to significantly improve the economics of this project. Additional drilling of plan for bigger Bigar Hill zone Peter targets and the Korkan West oxide zone in Q2 and an updated resource estimate will be completed for all deposits in Q3 followed by an internal scoping study. At our Malartic joint venture with Pershimex in Quebec an initial 1942 meters scout drilling program was completed. This program was designed to characterize the various targets that were defined within the volcanic sedimentary Blake River Group exploration, for mapping and geophysical were completed in 2017. Sampling logging and updated geological modeling to refine the targets will be completed in Q2. For 2018, our focus will be on executing our organic growth project specifically the successful construction completion in commissioning and ramp up of the long anticipated high-grade low cost Krumovgrad open pit gold project in Bulgaria, which will generate a significant growth in gold production and cash flow starting in 2019. The continued optimization of the Tsumeb smelter performance, so that we continue to generate growing free cash flow from this business and number three continue pursuing our growth opportunity with our existing portfolio of assets and through a discipline approach to acquisition opportunity. Thank you, I will now turn the call over to you who will review the financial results and 2018 guidance following, which we will open the floor to questions.
Hume Kyle: Thanks, Rick. For the first quarter, we reported adjusted net earnings of essentially no per share compared to adjusted loss of $0.04 per share for the first quarter of 2017 and adjusted EBITDA of $20 million compared to $14 million in 2017. These increases were primarily driven by higher volumes of throughput to decide at the annual maintenance and reduced deductions for metals exposure at Tsumeb, higher realized metal prices, partially offset by a U.S. weaker dollar and lower volumes of payable metals sold due to the timing of deliveries at Chelopech, which was otherwise a strong production quarter for Chelopech and was the key factor that resulted in our Q1 financial results being weaker than what you would have extracted given the underlying strong performance. From a cash flow perspective, funds from operations during the quarter were 18 million up, slightly from $17 million in 2017. And free cash flow to find this fund from operation plus, less sustaining capital and debt service obligations was 11 million essentially unchanged from 2017. As Rick has already commented on our Q1 cost, I will simply add that the increase with respect to our per ton cost at Chelopech was entirely due to currency which more than offset the per unit lower operating costs that we achieved during the quarter. With respect to our all in sustaining cost, the unfavorable impact of a higher gold grade and concentrate sold more than offset the FX impact during the quarter as well, and cash cost of $499, which was down $53 per ton relative to prior year was essentially entirely attributable to the volume impact associated with a full run in Q1 versus annual maintenance in Q1 at 2017 last year. From a capital expenditure standpoint sustaining growth capital expenditures for the quarter were $5 million and $25 million respectively or an aggregate spend of $30 million or $22 million in the corresponding period of 27 and a little lower than we had actually planned. This increase was related primarily to increased construction activities at Krumovgrad or we incurred approximately 18 million during the quarter or approximately $96 million since the commencement of construction was approximately $70 million to go. Based on installed deposits, we are approximately 50% complete pretty much in line with schedule. We are tracking to coming under budget and to deliver first concentrate in the fourth quarter of 2018. During the quarter, no additional hedging was undertaken beyond the regular KP hedging that we do and as a result for the balance of the year 52% of our expected payable copper byproduct production was hedged at $262 or is hedged at 262, which was part of our de-risking strategy to support moving forward with Krumovgrad. And 36% has been hedged using options which provided for $280 in the sea line of $332. From a currency standpoint, we've hedged approximately 33% of the million dollars at $13.68 and effectively all of our projected euro capital expenditures in respect to Krumovgrad at 115 for the balance of the year, which essentially supports our objective stay in within the capital budget. Coming into the second quarter of 2018, we remained in very good financial shape. We got 250,000 million of aggregate liquidity comprised of the un-drawn $242 million revolving credit facility and $15 million of cash and with increase in forecast cash flow generation, we are well positioned to complete the Krumovgrad Gold Project and the other growth initiatives that were preferred to. Looking out over the balance of the year, we are confident that both Chelopech and Tsumeb will achieve the expected levels of performance. With Chelopech just metal production being lower and the sales being higher than what was supported in Q1 and Tsumeb throughput on average after taking into account the annual maintenance schedule for mid-May being higher over the balance of the year. As a result, our 2018 production cost guidance remains unchanged from what we issued in February. Notably, gold production is expected to be between 165,000 ounces and 195,000 ounces, and that excludes the 3,000 ounces that we expect to produce out of Krumovgrad prior to declaring commercial production. Copper production is expected to be between 34 million pounds and 40 million pounds. The production is expected to be between 230,000 and 250,000. Our all-in sustaining cost for gold is expected to be between $640 and $855. And cash cost at Tsumeb 00:20:37] is expected to range between $440 and $500. On the capital front, sustained capital expenditures for 2018, as Rick noted, are expected to be between $29 million and $39 million, up on average over our Q1 levels, and up from prior years due to raising the elevation of Chelopech and Tsumeb management facility, and we few projects that were shifted from '17 to '18. Growth capital expenditures in '18 are expected to be in the $92 million to $100 million range, consistent with what we've said earlier, $88 million of which relates to Krumovgrad, and the balance relates to resource development, drilling, and a new smart center at Chelopech, and the upgrade of the [indiscernible] concentrate plant at Tsumeb. Our exploration spending on a range is $10 million to $15 million, with the majority being directed towards Chelopech, Krumovgrad, and our advanced exploration project called Timok gold in Serbia, with the balance focused on Greenfield projects in Greenfield projects in Bulgaria, Serbia, and our Malartic project in Quebec. Corporate G&A excluding the mark-to-market impact associated with the share-based compensation which resulted in higher G&A in Q1 due to the continued appreciation of our share price is expected to track current levels and fall within our annual guidance of $20 million to $24 million. And as Rick mentioned, we're very focused on delivering Krumovgrad on time and under budget, preparing for startup, and advancing a number of initiatives, all of which are expected to increase profitability and grow our business. Finally, our investment in MineRP is performing as expected and made very good progress executing its business plan in Q1. Interest in its industry-changing tools is high. And while we do not expect MineRP to have a material impact on our financial results for 2018, we remain confident in its future growth potential and its ability to add value as a portfolio investment, and as a component of our overall digital strategy. In closing, while the timing of the delivery at Chelopech dampened Q1's financial results, this is expected to correct itself and translate into better financial results over the balance of the year. And as a result, we anticipate exiting 2018 with a strong balance sheet. And as Rick already noted, with Krumovgrad construction being complete, we expect that the substantial increase in reported production and free cash flow generation commencing in 2019. And with that, I'll turn the call back over to the operator.
Operator: [Operator Instructions] Your first question comes from the line of Trevor Turnbull from Scotiabank. Go ahead please, your line is open.
Trevor Turnbull: Yes, hi guys. I just wanted to ask a little bit about the costs at Tsumeb. In the MDNA you mentioned there was labor cost, electricity cost, and then obviously the South African rand, which is tied to the local currency. I thought you guys were able to take out some of the contractor cost at Tsumeb. And so I was kind of wondering if you could talk a little bit about where you see labor costs going forward. I think Rick might've mentioned something about electricity, which sounded like it may have been a temporary issue, but if, could mention that as well. And then given that you are hedging up to a third of your Botswanan currency exposure through the rand. Do you see that as continuing to be a pressure on the cost going forward?
David Rae: All right, so this is David Rae. Let's start with contractors. So, one of the things that we've done in the course of the last few months is we've in-sourced our maintenance activity and we've also in-sourced the oxygen plant activity. And in combination, that's potentially a 5% overall operating cost per year, saving directly with that activity. So what we're doing is that as we've finished the other activity now in terms of continuity, we're looking towards those areas where we've been working with external third parties where we're paying additional money for those service provisions. And we believe we're in better position now to take that home and get efficiencies. So I don't know if that answers your questions. Those are the primary targets on contractors. In terms of electricity, the electricity rates in Namibia have been increasing at a rate of between 10% and 17% per year. And that's primarily a concern for us. There's lots of opportunity in terms of optimization of our energy use because maximum demand as a function is a large part of that cost. So what we're doing is we're looking for continuity on energy, that better operation of the plant so we make better use of the power that we're actually paying for. There's some optimization in terms of the power utilization. And then other than that we're also considering alternative supply of energy with the potential of constraining that inflationary cost. I don't know if that helps with the electricity. In terms of the…
Trevor Turnbull: Yes, sorry, David. Just on the electricity, what proportion of the cost is electricity right now?
David Rae: So, may be 20%.
Trevor Turnbull: And it's tied to the local currency, I would assume.
David Rae: It is.
Trevor Turnbull: Okay, thanks.
David Rae: Thank you.
Trevor Turnbull: And then on the currency, do you feel that that one-third is sufficient? For example, the level of currency hedging that you're talking about at this time, was that in place for Q1 as well?
Hume Kyle: Yes. So we did hedge a little over 30% of the Namibian dollar which is linked to the ZAR heading into 2018. And we consciously stopped hedging anything further following the abrupt move in the currency very late in the year. We continue to monitor it. As you probably know, it, like last year, it probably averaged 13.5. And then with the elections in South Africa there was a very strong rally that caused it to probably go down to about 11.5. And it's currently trading around I think 12.60 to 12.70. So we're monitoring that. I would anticipate that we would opportunistically try to put on some additional hedging and increase that position. From an overall standpoint we can certainly tolerate the volatility in the currency. From a Tsumeb perspective it is significant, and key objective for us is to continue to manage Tsumeb to a free cash flow situation.
Trevor Turnbull: And then what proportion of the cost then are tied to the currency, I would assume virtually all of it?
Hume Kyle: Virtually all of it, yes.
Trevor Turnbull: And then just one last question while I've got you, Hume, you mentioned MineRP, and also there was a comment that suggested that it's going through a bit of a growth in ramp up period which was why it had some higher G&A costs. Is that something that you expect to continue or will those costs start to come down now that you're through that, at least, initial spend?
Hume Kyle: Well I think it's probably more like the office, that they've had to increase their G&A to support the growth trajectory that they're on. So what's lagging is the signing of contracts. And we're seeing very good momentum in that regard, and we expect additional contracts to be signed over the balance of the year and into 2019. So that G&A increase was fully contemplated, expected to stay and probably increase further based on getting traction on signing additional contracts.
Trevor Turnbull: So we should be looking for the revenue to start to catch up?
Hume Kyle: Yes. And you'll recall that when we did the deal we made the investment, we provided them a $5 million line, they drew to $3 million. We don't expect at all to put any more than $2 million if any more at all over the balance of the year. It's all just in if you predicated on the timing of closing certain sales.
Trevor Turnbull: Okay, great. Thanks, that's all I had.
Operator: [Operator Instructions] Your next question comes from the line of Don MacLean from Paradigm Capital. Go ahead please, your line is open.
Don MacLean: So, a quick question on the re-bricking, I think you've been talking about the extending it to sort of 14-16 months. Does that look like that's a sustainable schedule?
David Rae: Yes, Don, actually it looks like actually very cautious. So we've already done 14 months now. And the remaining brick life is double what it was at the end of the last campaign. So we're very confident of the ability to move towards 18 months. The main thing now is understanding what we have to do with the rest of the plant to have that able to utilize that full timeline.
Don MacLean: Including the roof -- just kidding.
David Rae: The roof, at this point, we've got that solid three-day replacement once every six months. It's not really material, and we're still looking at the design of that. So will in the meantime be a constraint, but it's not material overall.
Don MacLean: Right. Okay, well that's good going on the re-bricking. Thanks.
Operator: There are no further questions. At this time, I turn the call back over to Rick Howes for closing remarks.
Rick Howes: Okay, thank you very much for joining us on the call today. And I wish everyone a good week, and a Happy Mother's Day.